Operator: Welcome to The Priceline Group's First Quarter 2016 Conference Call. The Priceline Group would like to remind everyone that this call may contain forward-looking statements, which are made pursuant to the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. These forward-looking statements are not guarantees of future performance, and are subject to certain risks, uncertainties and assumptions that are difficult to predict. Therefore, actual results may differ materially from those expressed, implied or forecasted in any such forward-looking statements. Expressions of future goals or expectations and similar expressions reflecting something other than historical facts are intended to identify forward-looking statements. For a list of factors that could cause the Group's actual results to differ materially from those described in the forward-looking statements, please refer to the Safe Harbor statements at the end of the Group's earnings press release, as well as the Group's most recent filings with the Securities and Exchange Commission. Unless required by law, The Priceline Group undertakes no obligation to update publicly any forward-looking statements whether as a result of new information, future events or otherwise. A copy of the Group's earnings press release together with an accompanying financial and statistical supplement is available in the For Investors section of The Priceline Group's website, www.pricelineGroup.com. And now, I'd like to introduce The Priceline Group's speakers for this afternoon, Jeffery Boyd; and Daniel Finnegan. Go ahead, gentlemen.
Jeffery H. Boyd - Chairman, President & Chief Executive Officer: Thank you very much and welcome to The Priceline Group's second (sic) [first] quarter conference call. I'm joined today by our Priceline Group's CFO, Dan Finnegan, in our Norwalk office before the market opens this morning in New York. The Group performed well in the quarter and we made good progress executing against our key initiatives. The Group reported consolidated gross bookings for the second (sic) [first] quarter of approximately $16.7 billion, up about 26% on a constant currency basis or about 21% year-over-year in U.S. dollars. Gross profit was up 21% or about 27% on a constant currency basis, and adjusted EBITDA was also up 27% to $676 million. And finally, non-GAAP earnings per share were $10.54, up 30% versus the prior year, surpassing our guidance for the quarter. GAAP earnings per share were $7.47, up 17% versus the prior year. Our U.S. dollar denominated growth rates were again impacted by the strong dollar, but less than we have experienced in previous quarters. Our customers booked accommodation reservations for 137 million room nights in the quarter, up 31% year-over-year, reflecting acceleration for the second consecutive quarter. We are pleased with this consistent robust growth in reservations, which reflects continued solid execution in the market for global travel. Booking.com continues to not only grow its accommodation supply, but also increase its penetration within its supply base. Booking.com's platform now has approximately 900,000 hotels and other accommodations in over 220 countries and territories, up 31% over last year. This platform also includes 422,000 instantly bookable vacation rental properties, which grew 40% year-over-year. We believe this inventory of unique properties represents an important source of future growth for the business, particularly when we can offer it with the best dynamic booking experience and great customer service. While our core business remains strong, Booking.com continues to invest in the future through innovation; for example, providing a rich customer experience for customers early in the travel planning process. Booking's new Passion Search is a unique search tool that helps our customers find and experience their true passions, with rich content and an elegant interface. We also remain focused and committed to helping our business customers with their unique travel needs. Booking.com for business had another successful quarter in extending its services from individual business travelers to small and medium-sized businesses. We are seeing solid growth in business bookers and Booking.com will continue to innovate and develop new tools to help these customers travel more easily and efficiently. priceline.com's results continue to be impacted by pressure on its opaque business due to greater marketplace competition in hotel discounting. Substantial investment in technology and people are underway to drive improvements to product, user interface and experiment velocity, and a new brand campaign launched in the first quarter aims at a more broadly-appealing message and brand promise. Cost discipline contributed to a good bottom line quarter for Agoda. As they push their pace of experimentation and innovation, they are positioning the platform for continued expansion. As mobility remains critically important across all of Agoda's primary Asian markets, we are pleased to note that the share of mobile transactions on Agoda is among the highest of the Group's travel businesses. KAYAK finished the quarter posting solid growth in queries, revenue and profit. Like our other brands, the pace of experimentation and innovation remains fast. Development around core search processing and functionality, mobile enhancements and new products all advanced during the quarter. We remain convinced that KAYAK's product breadth will continue to differentiate their services in the marketplace. Turning to our rental car services, rental car days grew 11% year-over-year for the Group. The largest contributor of this total, Rentalcars.com, executed another solid quarter despite challenges in some of its largest markets. OpenTable had a good quarter in its core U.S. business and continued adding restaurants to its cloud-based solution. OpenTable continues to make progress developing its technology platform for scaled international expansion and working with companies in the Group to test cross-promotion opportunities. In summary, the Group had a strong first quarter, led by its international hotel business. Bottom line results were aided by an early Easter and a shift of brand marketing expense from Q1 to Q2. The second quarter will be negatively affected by the seasonal Easter shift and by year-over-year increases in brand and performance-based marketing that represent important investments in building the business and our brands but will pressure operating leverage in the quarter, as you can see from our guidance. We do not believe that the higher expenses associated with the launch of new brand campaigns in the second quarter necessarily represents the long-term run rate for the business. Our outlook is also forecasting weakness in hotel average daily rates, which is representative of volatility in macro market conditions. Finally, while the circumstances of my return to the business as Interim CEO are unfortunate, I'm looking forward to working with our talented brand leadership, including Gillian Tans, who I congratulate on her promotion to CEO of Booking.com, as we continue moving our business forward. We believe the business is well-positioned to build on its long record of solid financial performance. I would like to thank our employees around the world for their hard work and dedication. I will now turn the call over to Dan for the detailed financial review.
Daniel J. Finnegan - Chief Financial Officer & Chief Accounting Officer: Thanks, Jeff. I'll discuss operating results and cash flows for the quarter and then provide guidance for the second quarter of 2016. All growth rates referenced in my comments are compared to the prior year comparable period, unless otherwise indicated. Q1 was an exceptionally strong quarter for The Priceline Group, with acceleration in room night growth to 31% compared to 27% in Q4. We also had solid operating margin performance. Growth was strong across all demand channels and key geographic regions. Rental car days grew by 11% in Q1, consistent with the Q4 growth rate. Average daily rates for accommodations, or ADRs, for Q1 were down slightly versus prior year on a constant currency basis for the consolidated Group, which was below our forecast that ADRs would be up by about 1%. Foreign exchange rates again presented a headwind to our growth rate expressed in U.S. dollars due to the strong dollar. Our Q1 gross bookings grew by 21% expressed in U.S. dollars but grew by about 26% on a constant currency basis compared to prior year. Gross profit for the quarter for The Priceline Group was $2 billion and grew by 21% in U.S. dollars and by about 27% on a constant currency basis compared to the prior year. Gross profit growth was helped by Easter falling in Q1 this year versus Q2 last year. We estimate that the early Easter timing shifted about $40 million of gross profit and adjusted EBITDA into Q1 that would have been recognized in Q2 if Easter fell in Q2 as it did last year. The timing shift benefits are Q1 gross profit, operating profit, adjusted EBITDA, net income and operating margins and will exert pressure on those metrics in Q2 in both cases compared to the prior year. Our gross profit take rate, representing the amount we earn in commission or gross margin relative to the gross bookings generated through our websites, continues to be stable as it has been for quite some time now. Our international operations generated gross profit of $1.7 billion, which grew by 23% in U.S. dollars and by about 31% on a constant currency basis compared to prior year. Gross profit for our U.S. operations amounted to $296 million which represented 7% growth versus prior year. Growth versus prior year Q1 was negatively impacted by a favorable travel transaction tax court ruling in the amount of $16.4 million included in Q1 2015 gross profit. Advertising and other revenue, which is mainly comprised of revenues for KAYAK and OpenTable, grew by 21% in Q1 compared to the prior year. Operating income grew by 27%, non-GAAP operating income grew by 28% and non-GAAP operating margins exceeded our guidance and increased by 152 bps compared to Q1 last year. Operating margins for Q1 2016 compared to the prior year Q1 were favorably impacted by the aforementioned Easter timing and phasing of brand advertising shifting into Q2. Solid ROIs for performance marketing were better than our guidance forecast. As highlighted in more detail on our soon-to-be-filed 10-Q, in Q1 we changed from presenting online and offline advertising to performance advertising and brand advertising. As a result, brand advertising done in online channels, such as YouTube and Facebook and display advertising, is now combined with offline advertising and presented as brand advertising. We think the new presentation is helpful to investors as it distinguishes between performance marketing that is typically managed on an ROI basis and brand advertising, which is typically managed to a planned level of spend. Non-advertising operating expenses were also favorable to our forecast and generated margin leverage compared to prior year in part due to the gross profit benefit of earlier Easter this year. Adjusted EBITDA for Q1 amounted to $676 million, which exceeded the top end of our guidance range of $620 million and grew by 27% versus prior year. Net income increased by 12% and fully diluted EPS by 17%. Non-GAAP net income increased by 24%, and non-GAAP EPS grew by 30%, including increased interest expense from our 2015 bond offerings and the beneficial impact of lower share count from stock repurchases. GAAP net income in Q1 includes a non-cash charge in the amount of $50.4 million related to an other than temporary impairment in the value of our cost method investment in Hotel Urbano based on the performance of the business, which has been impacted by the deteriorating economic and political situation in Brazil. We excluded the impairment charge from adjusted EBITDA, non-GAAP net income and non-GAAP EPS, because it is not driven by core operating results and renders comparisons with prior periods less meaningful. In terms of cash flow, we generated $344 million of cash from operations during first quarter 2016, which is about 65% above last year. We used our cash during the quarter to repurchase 202,000 shares of our common stock for $259 million. CapEx amounted to $53 million. Our cash and investments amounted to about $11 billion at March 31, 2016 with about $700 million of that balance in the U.S. Now, for Q2 guidance, gross bookings have continued to grow strongly across all channels and key geographic regions thus far in Q2, but growth has decelerated compared to Q1. Our guidance assumes that our growth rates will decelerate further as we progress through the quarter, mainly due to the size of our business and consistent with long-term trends. In addition, we believe that the EURO CUP and earlier timing this year for Ramadan will negatively impact our year-over-year growth rate in June. Our Q2 forecast is based upon recent foreign exchange rates and assumes that our growth rates in U.S. dollars will not be significantly impacted by foreign exchange rate fluctuations. This is the first quarter in quite a while where FX is not expected to be a headwind. For Q2 guidance, we are forecasting booked room nights to grow by 15% to 22% and total gross bookings to grow by 11% to 18% in U.S. dollars and on a constant currency basis. Our Q2 forecast assumes that constant currency accommodation ADRs for the consolidated Group will be down by about 1% compared to the prior year period. Our forecast for decreasing ADRs relates to the shifts in the geographic mix of our business, ADR weakness in markets experiencing soft demand due to travel or safety concerns and the impact on demand of economic weakness in certain international markets. Not surprisingly, these conditions have also resulted in elevated cancellation rates. We expect Q2 revenue to grow year-over-year by approximately 7% to 14%. We expect gross profit to grow by 9% to 16% in U.S. dollars and on a constant currency basis. The difference between forecasted gross bookings and gross profit growth relates to the lag between the timing of reservation booking and travel. A meaningful portion of the bookings recorded in Q2 are expected to benefit our gross profit in Q3 when summer travel takes place. We expect about 575 bps of deleverage in non-GAAP operating margins compared to prior year, expressed as non-GAAP operating income as a percentage of gross profit. Almost half of the margin pressure is due to the shift of Easter gross profit into Q1 and significantly increased brand advertising associated with the launch of new ad campaigns. Consistent with prior years, operating leverage is also pressured by investments in non-ad OpEx for our accommodation reservation business to be ready for peak travel season and future growth. Although, we occasionally experience periods of lumpiness in the growth of brand advertising and non-advertising OpEx investments, which can pressure margins as our guidance assumes for Q2, we expect over the longer-term to have operating leverage in these two expense categories. Finally, margins are also impacted by our assumptions for performance advertising efficiency. Our performance advertising return on investment has been solid thus far in the quarter, but as usual our forecast assumes deterioration from current levels and provides us with flexibility in a dynamic market to follow our consistent approach of advertising our brands at reasonable ROIs. Our adjusted EBITDA is expected to range between $740 million and $795 million, which, at the midpoint, is down 5% versus prior year. Our non-GAAP EPS forecast includes an estimated cash income tax rate of approximately 16% comprised of international income taxes and alternative minimum tax and state income taxes in the U.S. We are targeting non-GAAP fully diluted EPS of approximately $11.60 to $12.50 per share, which at the midpoint is down 3% versus prior year. Our non-GAAP EPS guidance assumes a fully diluted share count of 50.6 million shares based upon yesterday's closing stock price and reflects the beneficial impact of the common stock repurchases we made in 2015 and Q1 2016. We forecast GAAP EPS between $9.35 and $10.25 per share for Q2. The difference between our GAAP and non-GAAP results is driven by non-GAAP adjustments that are detailed in our earnings release. Consistent with past practice, we have hedge contracts in place to substantially shield our second quarter EBITDA net earnings from any further fluctuation in the euro and British pound versus the dollar between now and the end of the quarter. Our forecast does not assume any significant change in macroeconomic conditions in general, or in the travel market in particular. We'll now take your questions.
Operator: Thank you. Our first question is from Tom White with Macquarie. You may begin.
Tom White - Macquarie Capital (USA), Inc.: Great. Thank you for taking my question. Just on the hotel room night guidance and the deceleration there, you talked a little bit about the soccer tournament and Ramadan. I'm just curious if the differences in kind of the geographic seasonality of your business maybe is increasingly playing a role here, given that some of your faster growing geographies like Asia have peak travel in kind of 4Q and 1Q versus the middle part of the year? And then just secondly on the increased brand campaign spend, could you maybe just give a little bit of color? Is that sort of increase in spend in kind of countries where you guys are already advertising? Is it rolling out the campaign to new markets and new languages? Any detail there? Thank you.
Jeffery H. Boyd - Chairman, President & Chief Executive Officer: Okay. So maybe I'll take the second question and Dan can handle the first. With respect to the increased brand spend, an important part of that is a new advertising campaign for Booking.com here in the United States. Booking's product has enjoyed good growth and consumer acceptance, and we're very, very happy to be increasing our investment in building its market position and supporting that growth. There's no end (19:13) new market that represents a significant portion of that increased spend.
Daniel J. Finnegan - Chief Financial Officer & Chief Accounting Officer: And then as far as geographic mix goes, Tom, what I said in my prepared comments was for Q1 and Q2, we're happy with the growth we're seeing across all of our key geographic regions, and that's been the case for quite a while now. So, we've got regions other than Europe growing faster than our consolidated gross rate, typically. Europe, growing a little bit slower, but still posting really solid growth rates. So, the shift in mix amongst regions has been pretty gradual. The impact of EURO CUP has been – we've seen that in the past as well, and typically what happens, it's the last two weeks of June and the first two weeks of July. So, at the outset, when all the teams are still playing, people are paying attention to the tournament and not necessarily booking travel. As their teams get knocked out and the tournament wraps up, typically people will then book their summer vacation. They're not going to forego their vacation, but it may impact the timing of when they book it. And in terms of Ramadan, we've seen impacts every year. We have a big business in the Middle East and Asia Pacific region. It moves 10 days earlier, and so this year we have 10 extra days in the month of June. Typically at the outset of Ramadan we see a slowing in bookings as Muslims are observing Ramadan, and then at the end of Ramadan we see an uptick in travel, which is beneficial for our business. And that was in July last year and will be in July again this year.
Tom White - Macquarie Capital (USA), Inc.: Okay. Thank you.
Daniel J. Finnegan - Chief Financial Officer & Chief Accounting Officer: You're welcome.
Operator: Thank you. Our next question is from Eric Sheridan with UBS. You may begin.
Eric J. Sheridan - UBS Securities LLC: Thanks for taking the questions. Maybe just two, one on the measurement advertising side, the performance side, the stable ROI, curious just to understand what you're seeing in the marketplace from a competitive standpoint that informs the decisions and the statements on ROI in performance-based advertising, and how you think about that moving through the rest of the year? And then second on the CEO search, maybe understanding a little bit of what you're aiming for in the CEO search, timing and sort of how we should think about that going forward? Thanks, guys.
Jeffery H. Boyd - Chairman, President & Chief Executive Officer: Okay. Again, maybe I'll answer the second question and then Dan can take the first. Our board, as we said in our public disclosures, is commencing a search straightaway for a long-term successor to me as Interim CEO. We don't have a prediction as to how long that will take, but I think folks can use their common sense to come to some concept of what a search for a position like this could take in terms of time. In terms of the type of person that we're looking for, obviously, we need to have a person who has broad experience and a demonstrated track record of success in managing large global organizations, where technology is a very important part of the business, and where they have demonstrated their ability to deal with changing market conditions successfully.
Daniel J. Finnegan - Chief Financial Officer & Chief Accounting Officer: And on performance advertising, Eric, our approach is consistent with the way we've always handled it. So we're looking to bring traffic to the website at a reasonable return on investment. We've had several years, I guess since the middle of 2012, where we've been under pressure with that metric, and now we've had a few quarters in a row where we've seen ROIs pretty solid – without categorizing them as better or worse than prior year, pretty neutral. So, much better than the trend we'd before that. For going forward, I feel good about our ability to compete in these variable channels with the number of properties we've got available on our website, the breadth and depth of selection. The work that our marketing teams do to continuously innovate and become more sophisticated in the way we compete within these channels, and then the great work that our front end teams do also to continuously improve conversion on our websites and mobile platforms. Those all are good competitive advantages as we compete in that marketplace.
Operator: Thank you. Our next question is from Mark Mahaney with RBC Capital Markets. You may begin.
Mark Mahaney - RBC Capital Markets LLC: Thanks. Just one question on alternative accommodations, could you talk about trends there and you could give out some data on the inventory that you have there, but could you talk about the bookings trends you're seeing and your thoughts on integrating that over time more and more into the core purchase path, if that's something that you want to do? Thank you.
Jeffery H. Boyd - Chairman, President & Chief Executive Officer: Thank you, Mark. So, we gave statistics with respect to the increase in the number of properties, vacation properties. In terms of our inventory, those types of properties are growing faster than inventory overall, so the share of available properties is increasing. I want everybody to keep in mind that the number of rentable rooms or units per property for these kinds of accommodations is usually a lot smaller than a typical hotel, and that's something that we've been pointing out now for years. The growth rates that we're seeing with respect to these properties are attractive. They're definitely helping deliver the kind of 31% year-over-year room night growth that we saw in the first quarter and as I said in my prepared remarks, we view this sector of the market as a very important source of growth for the business going forward, and our aim here, really, with respect to not just vacation properties but other non-hotel accommodations, is to build the inventory substantially, provide a dynamic booking experience that is superior to any other alternative in the marketplace for these kinds of accommodations and a customer service and customer experience that is consistent with what we've been providing for customers for years and what's made us a leading player in the space. So, I think we couldn't be more enthusiastic about these types of accommodations and we couldn't be more convinced that the product that we're building and the service that we're providing is better than anything else out there in the marketplace.
Mark Mahaney - RBC Capital Markets LLC: Jeff, one quick follow-on on that, on the non-hotel accommodations. Could you just comment on the economics to Priceline of a booking of a non-hotel accommodation versus a regular hotel accommodation?
Daniel J. Finnegan - Chief Financial Officer & Chief Accounting Officer: The take rates are in line with our overall take rate, Mark.
Mark Mahaney - RBC Capital Markets LLC: Thank you, Dan.
Operator: Thank you. Our next question is from Douglas Anmuth with JPMorgan. You may begin.
Douglas T. Anmuth - JPMorgan Securities LLC: Thanks for taking the question. I just wanted to follow up on your comments about the deceleration into 2Q. Could you just help us understand the timing a little bit better here, kind of as you were exiting 1Q and going into 2Q and the degree to which you think that's law of large numbers versus some of the other factors you mentioned specifically into 2Q around security and macro concerns and other? Thanks.
Daniel J. Finnegan - Chief Financial Officer & Chief Accounting Officer: Hi, Doug. So, the growth rate in Q1 at 31% was clearly not sustainable. If you look at the growth we posted for Q1 together with the midpoint that we've guided to for Q2 and kind of average them out, you'd come to about a 25% growth rate year-to-date, which is the growth that we posted for all of 2015. So, I feel pretty good if we can check the box of getting halfway through this year with no deceleration versus last year. When we were asked a lot of questions last quarter about why are you growing so much faster, what are you doing differently, did you figure something out? We said the good news was no, we think that we're just continuing to perform well and the market is healthy. I think that's also the case with what we're seeing now in Q2. We're continuing to perform well. From data that we can monitor, we think that our share in variable channels is stable. The share of business going to us direct is stable. So, I think the growth for Q1 was not sustainable. The growth we've seen thus far in Q2 I categorized in my prepared remarks as I consider it to be strong growth. And as we typically do, we assume that our growth will decelerate as we move through the quarter. We have the couple of external factors with EURO CUP and Ramadan that we're calling out for the month of June, which has caused us to build maybe a little bit more conservatism in, or I'll call it that actually it just reflects the fact that we think that's going to negatively impact our growth for that month.
Douglas T. Anmuth - JPMorgan Securities LLC: Okay. Thanks, Dan.
Daniel J. Finnegan - Chief Financial Officer & Chief Accounting Officer: You're welcome.
Operator: Thank you. Our next question is from Justin Post with Bank of America Merrill Lynch. You may begin.
Justin Post - Bank of America Merrill Lynch: Thank you. A couple of questions. Jeff, welcome back. And why the increase in brand spend in 2Q? And any other initiatives for the company that you're doing this quarter since you've come back? And then it sounds like in the prepared remarks you've had some higher cancellation rates and lower ADRs, so maybe some industry pressure. Talk a little bit about what you are seeing out there. Thank you.
Jeffery H. Boyd - Chairman, President & Chief Executive Officer: Okay. So, Justin, in terms of the increase in brand spend in Q2, I think typically in this business and more specifically in the United States because of the way demand for travel ramps up, your brand advertising spend usually is heaviest in the first half going into the early part of the third quarter. And then it sort of tends to trend down. So, I think the ramp-up in spending for brand advertising at least in this market is consistent with demand trends. And again, we have a very profitable hotel business that allows us to make these kinds of investments in marketing. And as you know, we have a very strong culture of metric driven management. So you can expect us to look very carefully at the returns on the brand investments to make sure that it's paying off in terms of strengthening our brand and driving traffic to the website. With respect to the market conditions, I think that we all have seen over the last year since the financial crisis what has been essentially a very fragile economic recovery that's been characterized by periods of apparent strength followed by periods of apparent weakness, whether it's driven by headline risk associated with sovereign debt crisis or other political considerations and more recently oil prices. To me, some of the weakness that we're seeing is essentially consistent with the fragility of the economic situation that we've experienced over the long-term. But as Dan mentioned, we have seen in industry statistics at a minimum a deceleration of increasing average daily rates for hotels in a lot of markets around the world. And in our case, what we've seen is on a constant currency basis a reduction, a slight reduction in ADRs for the first time in a long time as well as Dan also mentioned increases in cancellations in certain markets. And so, we wanted to flag that for investors as something that's a component of our forward-looking guidance for top line growth
Daniel J. Finnegan - Chief Financial Officer & Chief Accounting Officer: And just to add on one other point there, Justin, with the ADR decline, I pointed out that mix is also impacting that. So we're seeing strong travel to Russia and APAC's strong as a destination. Those are typically at lower than our average ADRs. We're seeing some weakness in markets like France impacted by terrorism, which is a higher ADR market. So mix is also contributing to that trend in our financials.
Justin Post - Bank of America Merrill Lynch: Okay. Thank you.
Daniel J. Finnegan - Chief Financial Officer & Chief Accounting Officer: You're welcome.
Operator: Thank you. Our next question is from Naved Khan with Cantor Fitzgerald. You may begin.
Naved Khan - Cantor Fitzgerald Securities: Yes, hi. Thanks. Curious to know if you guys have seen any impact on your SEO traffic because of the changes that Google made to the search engine results pages this past quarter?
Jeffery H. Boyd - Chairman, President & Chief Executive Officer: I think that our emphasis and the lion's share of our business really comes more from page search than it does from organic search in the travel space in particular. KAYAK and OpenTable may get more business from organic channels but in the OTA space in the Group, it's typically much more of a page search channel than it is an SEO channel.
Naved Khan - Cantor Fitzgerald Securities: Okay. And then any impact from TripAdvisor's Instant Book? You guys sort of started participating in that a few months ago. Anything to call out there in terms of trends, what you're seeing in the channel?
Daniel J. Finnegan - Chief Financial Officer & Chief Accounting Officer: Hi, Naved. We didn't call anything out in the prepared remarks because there's really no change from what we said last quarter. So, given the relative size of TripAdvisor to our business, we haven't seen any significant impact to our numbers.
Naved Khan - Cantor Fitzgerald Securities: Thank you.
Daniel J. Finnegan - Chief Financial Officer & Chief Accounting Officer: You're welcome.
Operator: Thank you. Our next question is from Ken Sena with Evercore. You may begin.
Ken Sena - Evercore Group LLC: Hi. Just going back to the ADR question, you mentioned change in geographic mix, some safety concerns and also some macro weakness. But can you also attribute it to just growth overall in alternative accommodations, whether your own in terms of the strong room night growth or competitors like Airbnb? And then also when you're thinking about the alternative accommodations market, is there more you can say as far as how you're segmenting it in terms of whether it's managed by property managers or for rental by owner or other, just to kind of give us a sense of how you view the addressable market? Thank you.
Jeffery H. Boyd - Chairman, President & Chief Executive Officer: Ken, on the ADR side, no significant impact on our overall blended ADRs from our increasing share of vacation rentals. And it's still fairly early days in the vacation rental space and we've got teams of people at Booking.com that are continuing to innovate and grow that business. Right now, it's mostly through property managers but we are going to continue to add properties there and we're looking to make our tools easier for single property owners to also be able to participate. So we're going to continue to advance there, but right now it's mostly property managers.
Ken Sena - Evercore Group LLC: Thank you very much.
Jeffery H. Boyd - Chairman, President & Chief Executive Officer: You're welcome.
Operator: Thank you. Our next question is from Lloyd Walmsley with Deutsche Bank. You may begin.
Lloyd Walmsley - Deutsche Bank Securities, Inc.: Thanks. As you guys kind of ramp up your brand advertising spend this quarter, I think you characterized YouTube and Facebook as part of that bucket. So wondering if those channels have a good measurable ROI such that you can really scale up those spend and track the results or if kind of moving into that brand bucket suggests it's a less direct impact? And then a second if I can. Jeff, you're coming back after two years of perhaps thinking about the space from a more strategic level, so wondering if you can just kind of give us your views on what you think the biggest changes have been in the space in general and the position of Priceline over the last couple of years and kind of your outlook on the space as a whole going forward? That would be great. Thanks.
Jeffery H. Boyd - Chairman, President & Chief Executive Officer: Okay. So, Lloyd, thank you for those questions. In terms of online brand spend, that's something that has grown in brands around the Group in the last couple of years. And it does provide the opportunity for different ways of measuring effectiveness, and at least in our view, in some cases more effective ways to measure the effectiveness of your brand spend. So, I'm actually very optimistic that moving of brand spend to those channels has the potential to help us drive better long-term returns on investment on our brand spending. But at this point in time it's not being measured like performance-based advertising, where you're looking at the same session, unit economics divided by cost per click kind of thing. It's just not those kind of measurements, and so I don't want to represent that we are or ultimately will be looking at it the same way. But I think it bodes well for our ability to better manage our brand spending over time. With respect to, from a higher level, the changes that we're seeing in the space, I think that I continue to be very impressed by the size and the scope of the opportunity that The Priceline Group and others in our space have in front of us. Year after year, good execution is rewarded when demand goes to new distribution channels. When you look at the importance of two businesses that you just mentioned in terms of sources of demand, YouTube and Facebook and others, it's an opportunity for companies that can execute quickly and well to diversify and build on their demand. I also continue to be impressed by how attractive the global nature of the business is and the scale that we've developed, and in particular Booking.com has developed, that just gives us an opportunity in markets around the world to build really big businesses despite the turmoil that characterizes not only the world economy but the political situation around the world. And one thing that has impressed me about this business since I started running it as Chief Operating Officer of priceline.com in late 2000 is the resiliency of our businesses in the face of some of these challenges, which is not to say that we don't see the impact of terrorism or financial crisis. We absolutely see it. The economic cycles do affect our business, but time after time after time they recover quickly and they build because of the very substantial tailwinds that we have benefiting us in terms of movement of this activity from offline channels to online channels, the growth of economic activity and middle-class spending in emerging markets around the world and finally the ability of our talented teams around the world to improve the edge we have in trying to drive demand in these channels. I hope that's responsive to your question.
Lloyd Walmsley - Deutsche Bank Securities, Inc.: Yes, it's very helpful. Thank you.
Operator: Thank you. Our next question is from Mike Olson with Piper Jaffray. You may begin.
Mike J. Olson - Piper Jaffray & Co. (Broker): Hey, good morning. So you're giving some fairly specific reasons for Q2 bookings growth being a bit below expectations with Easter and Ramadan, and maybe some macro issues impacting ADR. So I just want to make sure that outside of those you're not seeing any changes in competitive dynamics like alternative accommodations growth, Hotel Direct potentially getting more aggressive, metasearch gaining a higher share of direct traffic or other OTAs getting share or any other factors that are impacting your bookings. In other words, is it fair to say that the more cautious booking outlook is entirely market or timing-based versus competitive issues? Thanks.
Jeffery H. Boyd - Chairman, President & Chief Executive Officer: No, I don't think that the deceleration that we're pointing to here has really anything to do with competitive factors in the marketplace. We obviously have a number of brands that are out there, and I think it's fair to say that not each one of them has the exact same competitive strength and positioning, but as we look at the share of the business that we're getting from major distribution channels, we feel very comfortable that we're holding or gaining share. When we look at what's happening in alternative accommodations, and particularly the growth that Airbnb is advertising in the marketplace, I personally think that represents an opportunity for us because we're in a position to build our business in that space and to drive very substantial demand to those properties to convert them with an experience that's great for the customer and profitable for us. So, I view that as a net substantial positive in terms of marketplace conditions for the Group.
Mike J. Olson - Piper Jaffray & Co. (Broker): Thank you.
Operator: Thank you. Our next question is from Brian Nowak with Morgan Stanley. You may begin.
Brian Nowak - Morgan Stanley & Co. LLC: Thanks for taking my questions. I have two. Just the first one, going back to the branded campaign in the U.S. around Booking.com, I guess I'd be curious to hear about learnings you have on U.S. in Booking.com the past couple of years, what you think has worked, what has been more challenging? And what drives the decision to kind of further increase branded ad spend to grow rather than use your paid search expertise to kind of continue taking share? And then secondly, just an update on OpenTable, kind of how we can think about an OpenTable rollout in Europe or next big milestones to look for this year? Thanks.
Jeffery H. Boyd - Chairman, President & Chief Executive Officer: Okay. Thank you. With respect to branding and branding spend in the United States, I would start off by saying that we are very pleased with the progress that Booking.com has made in building its business and in building its brand in the United States. From time to time, we've given some insight into what our overall growth rate is in the United States and we're not providing that color today, but I will say that we are pleased with the absolute and relative rates of growth of the Booking.com business here in the United States. We were very pleased with the results of the original brand launch on television of Booking.com in the United States and saw a demonstrable impact in terms of not just awareness, but also the business and ultimately the total cost that we experienced to drive customers as a whole were attractive to us. As to why brand spending versus performance-based marketing, in the United States it's a different market than international markets. First of all, our competition has very substantial share of voice on television. And if you don't participate, you are conceding awareness and ultimately demand to your competition. And when you think about the size of the U.S. market in terms of population and the travel market, and the fact that it's a homogeneous market that you can advertise to with one campaign across the country, it really makes sense to have brand advertising here. And I think that strategy is spot on. And as we said in our prepared remarks, having a push associated with the new campaign is not something that's going to happen every quarter of every year, but we think it's a solid and sound strategy to continue to build awareness for our brand, which today, research is available everywhere under indexes in terms of awareness with other major travel brands in the space. In terms of OpenTable and their plans to expand internationally, I think I said in my prepared remarks that there's a technology job to do in terms of revisions to their tech platform that make international expansion easy versus having to build a new platform in every different country, and that work is underway. And I think once it's completed, we'll be in a better position to essentially build on the international footprint that we have as a Group in helping OpenTable bring its product overseas. I'll mention that they have done some work in Australia on a preliminary basis to try to understand what the potential impact of that is. And while it's very small and very early days, we think it's showing us that this strategy is the right strategy to help build out the brand.
Brian Nowak - Morgan Stanley & Co. LLC: Great. Thanks.
Operator: Thank you. Our next question is from Daniel Powell with Goldman Sachs. You may begin.
Heath Terry - Goldman Sachs & Co.: Hi. Actually it's Heath Terry. Just wanted to get a sense with the EBITDA coming in about $50 million above the high end of your guidance for Q1, is there any reason that wasn't invested back into driving booking growth even into Q2? Just curious if the returns that you were seeing on incremental spend were lower than your threshold, if there was something beyond that? And then I also realize it's extremely early, but we've now had Marriott, Hyatt, Hilton and InterContinental all announce lower rates and other benefits for people that book direct. Do you foresee any impact to that even if it's just to your business with those chains?
Jeffery H. Boyd - Chairman, President & Chief Executive Officer: Why don't I do the second one and Dan will do the first. With respect to the major hotel chains, a couple of things to keep in mind. First is, just say at the outset that our relationships with hotels in particular and with the hotel chains is an important part of who we are as a Group that we have a traditional supply of friendliness of bringing demand to our hotel partners at very low distribution costs. And in particular because of the international footprint of our business, we uniquely can provide access to demand around the world that even the most sophisticated chains cannot access themselves because they don't have the functionality, the language capabilities or the distribution capabilities that we have on a global basis. So, we're providing a little bit of a different and, and at least in my judgment, more valuable service to our hotel partners really than anybody else in this space. With respect to their efforts to drive traffic directly to their website, it's understandable. They have a strong desire to strengthen their brands, and we understand that. On the other hand, we believe our customers are entitled to competitive pricing and the best availability that is out there for intermediaries, because we provide the largest business to most of the hotels that we work with. So, we try to maintain that balance. I think people should keep in mind that the share of business that The Priceline Group does with the chains is relatively small. It's not like it used to be for Priceline when the chains for the U.S. business were such a major part of the whole. It's really a much smaller part of the business. And ultimately for any hotel that wants to maximize the benefit they get from working with our brands, the most important things are going to be their pricing, their content, their availability, the competitiveness of the offer that we can show to our customers.
Daniel J. Finnegan - Chief Financial Officer & Chief Accounting Officer: And, Heath, in terms of the EBITDA over-performance in Q1, we typically don't manage our brand spending that way, so we don't say, okay, we over-performed, therefore let's just churn a lot more money into advertising. Our performance advertising approach has been very consistent over many years now. It's consistent in Q1 and Q2 with what it has been in the past. In terms of the brand advertising, timing was more in Q2 than Q1 based upon when the campaigns were available to roll for Booking.com and for priceline.com. It was a strategic decision to hold back a little bit on running the campaign until we were further along with the tech platform relaunch. So, we're trying to spend what we think is the right amount to build our brands for the long-term rather than overspending because we had some over-performance in EBITDA in a quarter.
Heath Terry - Goldman Sachs & Co.: Thank you.
Daniel J. Finnegan - Chief Financial Officer & Chief Accounting Officer: You're welcome.
Operator: Thank you. Our next question is from Kevin Kopelman with Cowen and Company. You may begin.
Kevin Kopelman - Cowen & Co. LLC: Hi. Thanks a lot. So you quantified the Easter impact for us of $40 million. Can you help us just think about how large the EURO CUP and Ramadan impacts are? And then also the brand campaign, if you could quantify that for us? Thanks.
Daniel J. Finnegan - Chief Financial Officer & Chief Accounting Officer: Yes, so we're not going to quantify the Ramadan and EURO CUP impact. But I will say growth is strong thus far out of the gate and we typically then assume that growth will decelerate as we move through the quarter given the size of the business. There's no change in our approach there, and then we factored in a, what I would say overall for the quarter, is a relatively small impact related to the two specific issues. And then the brand spending, what we said is that the deleverage in Q2, almost half of it is driven by a combination of the Easter shift in timing and the increase in brand spend. So you can get a pretty good idea on what that amount is by doing the math.
Kevin Kopelman - Cowen & Co. LLC: Okay. Thanks very much.
Daniel J. Finnegan - Chief Financial Officer & Chief Accounting Officer: You're welcome.
Operator: Thank you. Our next question is from Stephen Ju (50:49) with Credit Suisse. You may begin.
Unknown Speaker: Okay. Thanks. So is there anything you can share with us in terms of the overall impact you may be noticing from outbound travel activity and hopefully new demand out of the APAC region, especially China? And do you feel like those travelers are opting more for the larger hotel chain inventory as opposed to the more independent or even the alternative properties where you guys are stronger? Thanks.
Jeffery H. Boyd - Chairman, President & Chief Executive Officer: Stephen (51:18), I don't think we have any particular comment to make about the relative strength or weakness of outbound APAC. I think the performance of the business in APAC in general has been consistent with our expectations. The only regional comment I would make there is that inbound travel, international travel to China, has continued to be under pressure for primarily pollution reasons, honestly, more than anything else. And in terms of hotel quality, I don't have a comment to make to you there.
Operator: Thank you. Our last question is from Brian Fitzgerald with Jefferies. You may begin.
Brian P. Fitzgerald - Jefferies LLC: Thanks. Maybe a really quick question. Any differentiating trends you're seeing in terms of alternative inventory on a regional basis?
Daniel J. Finnegan - Chief Financial Officer & Chief Accounting Officer: No. Nothing to call out, Brian. I mean, it pretty much tracks the footprint of our business. So we're adding vacation rentals in all of our markets, principally in Europe, which is our biggest market. So nothing I would call out there that's noteworthy.
Brian P. Fitzgerald - Jefferies LLC: Great. Thanks, Jeff.
Jeffery H. Boyd - Chairman, President & Chief Executive Officer: You're welcome.
Operator: Thank you. I would now like to turn the call back over to management for any closing remarks.
Jeffery H. Boyd - Chairman, President & Chief Executive Officer: Thank you all for participating in the call.